Operator: Good day and thank you for standing by. Welcome to the Interactive Brokers Group’ First Quarter Financial Results Conference Call. At this time, all participants are in a listen-only mode. After the speakers’ presentation, there will be a question-and-answer session.  Please be advised this call is being recorded.  I would now like to hand the conference over to your host today, Nancy Stuebe, Director of IR. Please go ahead.
Nancy Stuebe: Good afternoon. And thank you for joining us for our first quarter 2022 earnings conference call. Once again, Thomas, is on the call, but asked me to present his comments on the business. Also joining us today is Milan Galik, our CEO. After prepared remarks, we will have a Q&A. As a reminder, today’s call may include forward-looking statements, which represent the company’s beliefs regarding future events, which by their nature are not certain and are outside of the company’s control. Our actual results and financial condition may differ, possibly materially from what is indicated in these forward-looking statements. We ask that you refer to the disclaimers in our press release. You should also review a description of Risk Factors contained in our financial reports filed with the SEC. The first quarter was one in which the only thing predictable was how unpredictable it would be except for our continued growth. In the first three months of this year, the markets absorbed news on geopolitical issues that included the war in Europe and its impacts, both humanitarian and economic, as well as continuing supply chain issues, product shortages, levels of inflation not seen since the 1970s and the first Fed funds rate hike since 2018, with expectations of many more to come. Persistent deficit spending in this country has limited the government’s ability to respond to high inflation with high interest rates. As for each 1% rise, interest on U.S. debt increases by $300 billion as it gets refinanced. So inflation is likely to stay with us. Few markets were unaffected by these events and most market indices worldwide were down in the first quarter. Despite this, we are very pleased with how our business performed even with the headwinds we faced in the quarter. We ended the quarter with a record 1,809,000 accounts and that increase of over 480,000 from last March. We saw account growth in all client segments and all geographic regions, with particular strength 40% and 48% in Europe and Asia, which together represent three quarters of our accounts. As our client base grows, DARTs have risen as well. In the first quarter our DARTs were over 2.5 million, the second highest in our company’s history. Volumes are up, particularly this quarter in futures and options. Products which carry a higher commission, so in the case of futures, they also carry a higher cost, with 56% of futures commissions taken up by exchange, clearing and regulatory fees, likely due to a lack of competition in the largest futures market in the U.S. Higher DARTs led to commission revenues rising to $349 million, also the second highest in company history, behind only the unusually active trading period last year. As I mentioned on our fourth quarter call option, volumes continue to be strong. In the first quarter in the U.S., listed options volume for the industry, the average daily volume of over 42 million contracts a record. In an unpredictable environment, vertical option spreads give traders the ability to take on a very specific and limited risk reward profile for a specific period of time. This appeals to many traders looking to invest in companies, whose business and prospects they believe in at less cost than if they had to buy those shares outright. While in 2022 the impact of the coronavirus has faded, the resulting reliance by the public on electronic communications, meeting from a distance and gathering and sharing ideas and larger asynchronous groups, including groups of investors, remains. The net effect of this trend as far as IBKR in the online brokerage industry is concerned, is that even millennial, analysts technologically oriented people have become more friendly with online activities. As you may know, the average age of our customers is 42. Unexpectedly, this opens up a new segment of potential customers for us, 50 and above wealthier people. Most of these people have their investments managed by advisors on the conventional wealth management platforms of the larger brokers. Now that they are at ease with online activities, many of them would like to be able to see their accounts live online and sometimes would even like to do a trade by themselves and see it landing in their accounts. At Interactive Brokers, this is something they can do. Our task is to let them know that, so that they would ask their advisors to move their accounts to IBKR. Interactive Brokers has become better at enabling our customers to navigate through our numerous high-quality features at ever greater efficiency, helping them to establish their own personalized work environments and tools. The superior customer experience our platform offers has become better known worldwide, spread by word of mouth, as well as by our institutional sales team, as we continue to add customers at a rate of over 30%. In addition, our capital base has grown even stronger during this period, with total equity reaching $10.5 billion this quarter, up $1 billion since this time last year. This space funds our business, helps us to attract larger customers and reassures the increasing number of clients looking to participate in the markets. We saw account growth once again in all five of the client types that we service. Individual account growth was fastest at 45%, followed by proprietary traders at 35%, introducing brokers at 23%, financial advisors at 16% and hedge funds at 8%. We are excited about the opportunities we see in 2022. We continue to place enhanced focus on our marketing efforts and we increased spending in this area over the past year and expect to continue again this year. We recently introduced Global Trader, a simple mobile trading app that allows investors to open an account in minutes, and start trading on over 80 stock exchanges around the world and 23 different currencies, allowing for global diversification. It is integrated with our GlobalAnalyst Scanner, which helps investors identify investment opportunities worldwide, allowing Global Trader users to quickly take advantage of them. We also started Traders’ Insight Radio, a new podcast series featuring interviews with thought leaders across financial services and that is available for free on our Trader Workstation, Client Portal and IBKR mobile, as well as via the popular podcasting services. Our leading ESG efforts continue and now include carbon offsets. Our clients can select from a list of pre-set activities, estimate our carbon footprint and purchase the carbon credits to offset them, which we source and retire all from their IBKR account. We believe in 2022 with the potential for higher inflation that more people will come to the realization that holding on to their money as cash is a losing proposition. They will turn to equities worldwide to earn a return and Interactive Brokers will serve them with their innovative platform and educational materials. We aim to be the platform of choice for the best informed, most successful investors. With that, I will turn the call over to our CFO, Paul Brody, who will go through the numbers for the quarter. Paul?
Paul Brody: Thank you, Nancy, and as usual, thanks, everyone, for joining the call. I will first review the first quarter operating results and then we will open it up for questions. Starting with our revenue items on page three of the release, we are pleased with the strength of our results this quarter and we believe our robust growth in customer accounts positions us well for both commission and interest revenues in the quarters ahead. Commissions were strong, reaching their second highest quarterly revenue ever at $349 million. Options and futures volumes outpaced the first quarter of 2021, while stock volumes declined from last year’s so called meme stock spike. Net interest income of $282 million reflected higher margin loan interest on greater loan balances, as well as higher interest earned on our segregated cash portfolio as U.S. rates have recently moved up from near zero. These gains were offset by lower securities lending revenue, which reflected fewer opportunities in the marketplace. Other fees and services generated $53 million, with market data fees of $20 million, up 5% and risk exposure fee revenue tripling to $15 million. Exchange liquidity payments remained at $10 million on consistent options volume. Declines in IPO fees and account activity fees, which we discontinued for the most account types in 2021 reduced the total in this line item. Other income includes gains and losses on our investments, our currency diversification strategy and principal transaction. Note that many of these non-core items are excluded in our adjusted earnings, and without these excluded items, other income was $8 million for the quarter. Turning to expenses, execution, clearing and distribution costs rose 4% from last year, led by futures volumes, which carry higher fees. As a percentage -- as a percent of commission revenues, execution and clearing costs, which are driven by a combination of trading volume, exchange rebates and changing fee schedules were 16% this quarter, meaning that 84% of incremental commission revenue dropped to the bottomline. While this cost ratio will fluctuate over time with product mix and trading volumes, the factors that drive it lower over time remain in place, with exchanges offering rebates on compete -- and competing on cost, which gives our smart router the opportunity to improve on execution quality for our IBKR Pro clients. Compensation and benefits expense while up in dollar terms for the quarter as we expanded hiring to support our strong growth was 16% of our adjusted net revenues consistent with its historical level. Our headcount at quarter-end was 2,683. G&A expenses were down versus last year, driven by a non-recurrence of $18 million in Brexit-related costs and lower legal expenses. This quarter also included a $1 million donation toward humanitarian aid in Ukraine. Our adjusted pre-tax margin was a robust 64%. Automation remains our key means of maintaining high margins as well as continued expense control, while we hire talented people and invest in the future of our business. $28 million of income taxes reflect the sum of the operating companies $11 million and the public companies $17 million. Moving to our balance sheet on page five of the release, our total assets were $114 billion at the end of the quarter, with growth over the last year, driven by increases in our segregated cash and securities and margin loans. Our consolidated equity capital was $10.5 billion and we have no long-term debt. Turning to our operating data on pages six and seven, our contract volumes for all customers were especially strong, reaching the second highest ever in options up 6% on the year and the highest ever in futures up 31% on the year. Stock share volume was down significantly versus last year’s active first quarter and the drop-off is largely attributable to trading in pink sheet and other very low priced stocks. On page seven, you can see that our account growth remains robust with over 132,000 net account adds in the quarter and total accounts reaching 1.8 million, up 36% over the prior year. We are now adding accounts at a quarterly pace that is greater than our annual pace prior to 2020. Total customer DARTs were over 2.5 million trades per day, second highest in company history, surpassed only by last year’s extreme first quarter activity, but up 4% from strong fourth quarter trends. Our cleared IBKR Pro customers paid an average of $2.57 commission per cleared commissionable order, up 11% from last year, as our clients’ volume mix included proportionately more futures than last year. These products carry higher pass-through fees charged by exchanges and clearinghouses. Page eight presents our net interest margin numbers. Total GAAP net interest income was $282 million for the quarter, down 8% on the year ago quarter, reflecting strength in margin lending offset by fewer opportunities in securities lending. The Federal Reserve raise interest rates by 25 basis points with about two weeks left in the quarter, which had a minor positive impact in a 12 week quarter, but we will have a full positive impact in the next quarter. Margin on net interest was up 27% to $149 million as average margin loan balances grew 18% over last year’s first quarter. The higher Fed funds rate bodes well for our U.S. dollar denominated balances, which are roughly three quarters of the total. Net interest on segregated cash turned positive this quarter and we earned $7 million on this balances due both to our opportunistic investment strategy, as well as the mid-March Federal Reserve rate hike. Securities lending net interest was $110 million, down from $175 million in the unusually active year ago quarter. There were fewer hard to borrow names that investors sold short in the first couple of months of the quarter, particularly in January and early February, that we began to see more opportunities open up in March. Interest from customer credit balances or the interest we pay our customers continues to be positive, because in currencies where rates are negative, we pass-through some of the interest cost to customers. We earned $9 million on these balances. Now for our estimates the impact of increases in interest rates, we expect the next 25-basis-point rise in rates to produce an additional $124 million annually. Note that our starting point for this estimate is March 31st, when the first 25 basis point increase in Fed funds had already occurred. The $124 million estimate is for a second rate increase and is in addition to the $165 million increase for the first rate hike that we estimated last quarter. As current market expectations include larger rate increases, we note that a 50-basis-point rise in rates would produce an additional $175 million annually. This does not take into account any change in how we may adjust our investment strategy to take advantage of newly higher rates or any change in our asset. About 28% of our customer cash balances are non-U.S. dollars. So estimates of U.S. rate changes -- rate change impact exclude those currencies. In conclusion, the first quarter produced a solid start to the year, reflecting our continued ability to grow our customer base, take advantage of opportunities as they arise, while managing the business effectively with strong expense control. And with that, we will turn it over to the moderator and we will open up for questions.
Operator: And thank you.  And our first question comes from Rich Repetto from Piper Sandler. Your line is now open.
Rich Repetto: Hi. Good evening, Thomas, and good evening, Paul. I guess the first question has to do with the -- just trying to understand, Paul, the interest rate sensitivity you just went through. When you say the next 50 basis points that we have had rate hike one, and then the second one would be 124, this 50 basis points can we consider that, this year it looks like there’s going to be at least the Fed continues to forecast an eight additional. So would that be hikes, what do you call three through eight, could we apply that sort of sensitivity?
Paul Brody: Right. So we haven’t mapped it all the way out. But I can tell you that the incremental numbers stabilize after maybe about three rate hikes and that’s because the rates are high enough that we are now paying customers credit -- interest on their credit balances and so we are earning our spread. And the incremental amount we earn as the rates go up is on what we call fully interest rate sensitive balances. In other words, balances that on which customer customers are not earning and after about three rate hikes of 25 basis points. That levels out at about $50 million incrementally per year for each 25 basis point increase.
Rich Repetto: Got it. That’s very helpful.
Paul Brody: So we had $124 million. Now we are looking at the incremental that I said 50 basis points that that $175 million was equivalent to the $124 million would be for 25 basis points, $175 million would be for 50 basis points, hence about $50 million extra for that next 25 basis points.
Rich Repetto: Got it. That’s the clarification is helpful. Good evening, Thomas. I just want to get your view, people are trying to understand and grasp where the retail investor is. And it looks like if I had to -- if you could sort of guide us, it looks like the more sophisticated trader is still pretty strong, given the size of your trades went up and a little bit more tilted towards futures. Would you size up retail engagement, who is trading these days and is it sort of bifurcating between the sophisticated and sort of some of the newer investors we saw in the first quarter of last year?
Thomas Peterffy: So aside of the semi sophisticated, the more sophisticated I think are just -- are trading away, they basically tend to focus more and more on options and within that they tend to do more and more vertical spreads. And what we like about vertical spreads, of course, is that it’s a valid strategy just as much in down markets as it is in up market. So we expect that even if the market starts going down, we will not suffer too heavily from lack of trading.
Rich Repetto: Okay. I got a follow up questions, but I will get back in the queue. Thanks, Thomas.
Operator: And thank you. And our next question comes from Craig Siegenthaler from Bank of America. Your line is now open.
Craig Siegenthaler: Hey. Good evening, everyone.
Paul Brody: Hi, Craig.
Thomas Peterffy: Good evening.
Craig Siegenthaler: Good evening, Thomas. So in the prepared remarks, Paul you commented, how much stronger the organic growth rate is today versus before 2020 and that’s continuing here into a more challenging backdrop in 1Q. Overall, what do you attribute this to, and Thomas, I know you have had a target out there, I believe around 40% going forward. But what gives you conviction and confidence that this strong organic growth trajectory will continue here?
Thomas Peterffy: Well, I think my target was 30%. But so I certainly don’t believe that we will get 40%. It’s possible but extremely unlikely. And I will be very happy with 30% account growth and the event that is -- those new accounts as we keep going over that fact the new accounts tend to be somewhat smaller although we do have several prospect, a larger prospect in the pipeline, but they tend to be basically in the introducing brokers space and they are likely to be more and more omnibus accounts. In other words when they join us they will not show up in the account bills. So, somebody could join us, with say, 100,000 accounts, but it will just show up as one account, because it is going to be one omnibus account.
Craig Siegenthaler: That makes sense. And then just turning to capital return, you have $10.5 billion of equity capital now. Is there a level where you can accelerate the return of capital to shareholders and is one reason you have so much capital, also because you are trying to win hedge fund prime business where the size of the balance sheet is critical?
Thomas Peterffy: You are absolutely right. We are going to keep on accumulating capital and firming up our credibility in the eyes of the investing public.
Craig Siegenthaler: Thanks for taking my questions.
Operator: Thank you. And our next question comes from Dan Fannon from Jefferies. Your line is now open.
Dan Fannon: Thanks. Just want to clarify, Paul, one thing on the rate sensitivity. So, in addition to what you said for the next two hikes, but every 25-basis-point hike after, what would be the first three, it will be a $50 million benefit, is that the way to think of it?
Paul Brody: Roughly. But, of course that’s assuming no change in balances and if our balances grow over time, those numbers will go up.
Dan Fannon: Right. And given you haven’t changed your investment philosophy, but obviously, the backdrop for rates is a lot different today than it was three months ago. How are you thinking about that potentially as the year progresses and rate backdrop changes, should we see a shift or should we anticipate a shift in investment strategy based upon that backdrop?
Thomas Peterffy: No. No. So, look, I very strongly believe that that fed rate hike will have to go much higher due to slow down inflation. Let’s basically be still a negative 8%, right? So I think that just going up 2% or 3% and being at negative 6% or 5% is not going to be good enough. So I think that rates could go as high as 4% or 5% and we are not going to lend the money for any further down for that very, very short-term.
Dan Fannon: Okay. Thank you.
Operator: And thank you. And our next question comes from Kyle Voigt from KBW. Your line is now open.
Kyle Voigt: Hi. I just want to clarify. I think, Nancy, you mentioned that, Milan has joined the call for the -- is that correct, is he on?
Milan Galik: That’s correct. Hi, Kyle.
Kyle Voigt: Hi. Welcome to the call.
Milan Galik: Thank you.
Kyle Voigt: Just because you haven’t historically had, I guess, much exposure to IBKR investors in this forum before. Just wondering, if you could share a few, maybe high level thoughts on the state of the business, what opportunities you are spending the most time on operationally and then what segments or initiatives that kind of excite you the most as you look out over the next three years or five years for the company?
Milan Galik: So thanks for your question. I feel like Interactive Brokers is firing on all cylinders. We have a lot of projects that we are currently working on. We are still spending quite a bit of time on increasing our scalability. Our goal is to be able to service 10 million accounts, 10 million trade per day. We are getting close to be able to hit those numbers. So scalability continues to be part of our work. We focus on the retail investors, as you might have seen, we have released the Impact app not that long ago. We have put online the Global Trader, which we just started marketing. So we are doing work that should appeal to the most retail client if you will. There is a substantial amount of effort we are putting into servicing the financial advisors. We are making it easier for them to onboard their clients. We are making it easier for them to service those clients. We are going to be gradually allowing the financial advisors to do more work for their clients than we previously allowed. Our salesforce is doing a great job in getting us institutional accounts, for example, the high broker accounts, introducing brokers accounts. So we have a few in the pipeline that we are going to be on-boarding this year. We are working on a facelift of our MobileTrader. We are designing a brand new desktop trading platform. And I could go on, we are going to be adding products as we usually do. We are going to be adding new geographies for our international traders.
Kyle Voigt: That’s great color. Thank you for -- thanks for that and welcome again. I guess for a follow up question, maybe for Paul on the expense side. I think fixed expenses in aggregate were $179 million in the first quarter. We compare that to the first quarter of last year and even excluding the, I think, $19 million or so of one-time Brexit expenses last year, the fixed expense growth rate was still only 8% or so year-on-year, which is lower than your historical growth rate, as well as I think the guidance range, which is closer to that 15% type range for fixed expenses. So just wondering how we should think about year-on-year growth in fixed expenses as we move through the remainder of this year?
Paul Brody: So by design, we have been increasing staff to accommodate our growing business, especially in client services, but also we have ramped up compliance over the last several years, so that’s by design. And so when you see those numbers increasing, we are expecting that and in fact we are hitting our targets I think. And really the rest are fairly stable, when you see the G&A go up and down, it’s because there’s items in there that come and go. As we mentioned, it was about $18 million that we spent last year related to Brexit we are getting regulated in Europe that didn’t repeat this year and those numbers came way off. So it’s a little hard to pin down the overall growth rate. But probably the largest contributor may continue to be the employee compensation and benefits.
Kyle Voigt: Got it. So it seems like this type of growth rate is fairly good too soon for the remainder of the year is that fair, is it now high-single digits or low-double digits, just trying to get a sense of the growth rate we should be assuming in our models?
Thomas Peterffy: I think that that low-double digits are closer to the target than the high-single digits. So we are continue to…
Kyle Voigt: Okay.
Thomas Peterffy: We are continue to expand in customer service and in the number of geographies where we are establishing subsidiaries. So I would think that the $15 -- 15% increase is probably a good guess.
Kyle Voigt: Great. Thanks, Thomas. I will hop back in the queue. Thank you.
Operator: And thank you. And our next question comes from Chris Allen from Compass Point. Your line is now open.
Chris Allen: Good evening, everyone. Thank you for my questions. I wanted to ask about the yields on margin balances, so a nice increase sequentially in year-over-year. I know you had some pricing changes in there. I am just wondering if you could parse out what was driven by pricing changes and also what was driven by the recent Fed hike?
Thomas Peterffy: So what we used to do in quite a long time ago was that our margin rates were between a 0.5 point and 1.5 points over Fed funds. We have increased the bottom of that so that we are between 75 basis points and 1.5 points -- 150 basis points over Fed fund. That’s the only change we have made.
Chris Allen: Understood. Does that impact on the full quarter?
Thomas Peterffy: Sorry?
Chris Allen: Does that impact fell through this whole first quarter?
Thomas Peterffy: Oh! Yes.
Paul Brody: Yeah.
Thomas Peterffy: Yeah. Thank you.
Chris Allen: And then maybe a quick one, just on execution and clearing costs. In addition to higher futures activity, the loss of the OCC fee waiver going away that that impacted, was that also a factor just in higher execution clearing costs relative to where they had been running?
Paul Brody: I am sorry. Can you repeat that, Chris?
Chris Allen: Yeah. I mean, trying to figure out through the execution and clearing costs, obviously, ramped higher from where it had been running, you attributed some of that to futures activity, but the OCC fee waiver which had a bit effect for the tail end of 2021 that went away. So, just trying to figure out the differences between the two, what’s the driving factor there?
Paul Brody: Yes. Most of it was driven by the futures. There was an impact from the OCC fee holiday at the end of the year coming back. It didn’t come back at the full rate that they started last year at. Last year they started a higher rate, dropped it toward the middle of the year and then put a fee holiday on for part of the end of the year. They reinstated it around somewhere in the middle, which is probably reasonable for them because they are doing such higher volume now, that impact was something like $3 million to $4 million in the quarter over the prior quarter.
Chris Allen: Understood. Thank. I will be back in queue.
Operator: And thank you. And we have a follow up question from Rich Repetto from Piper Sandler. Your line is now open.
Rich Repetto: Yeah. Hello again. Now that we know, we have Milan on the call as well. I wanted to get a question in for him as well, Milan. So, Thomas has placed, I guess, the highest priority, the highest standard of technology driving Interactive Brokers success. And I guess, from your standpoint, which are the areas in technology really differentiate? Can you talk about your platform of how you see the platform and how it sets you apart from some of your peers?
Milan Galik: Hi, Rich. Thanks for the question. I think what sets us apart is the fact that I view our company as a technology company that applies its skill set to the financial industry. So we have a lot of programmers, a lot of technologists working for the company. As you may know, Interactive Brokers started as an options market making firm and what we were doing was building computer systems for trading options at the various exchanges. So our mindset is technology. That is how we approach the problems. We look at workflows, the task flows that our clients have to execute on the platform and we ask ourselves the question how can we automate the process that they are executing? How can we make the process the most intuitive and the simplest for them? So that is our nature. We obviously have a very strong sales force, but at the core we are a tech company and I believe that’s what sets us apart the high level of automation, which you can clearly see in the 65%-plus profit margin that we are running as a company. And that will never change, that is what we are counting on going forwards, building new features for our clients, reviving the older ones, increasing the stability and scalability of our systems. That is what we are into. That is what we will continue to do.
Rich Repetto: Understood. Very helpful. And I got one last one for Thomas, getting back to the retail investor, Thomas. So we did see some deleveraging or margin balances contracting a bit in a couple of months, I believe. And just trying to understand, we saw futures go up. We have seen the Russia, Ukraine, you know event sort of stall, I guess. So it appears that, there was a lot of trading maybe in February on -- with derivatives, but it seems like it’s more stalled now. And just trying to understand who -- again, who’s trading as we get into this period, if market conditions pretty much stay the same for the next couple of quarters.
Thomas Peterffy: So, look, I mean, the way it works for us, is sad for our customers practically another three . So something like 52% of the customers do three or less trades a year. Fed that up against the remaining 48%, where the average customer with $100,000 in assets in these accounts creates 230 times a year. And from there on, for every 60% increase in funds in the account, the trading volume doubles and it’s surprisingly a very straight line.
Rich Repetto: Okay. So as the -- your sophisticated traders are semi-sophisticated traders, the ones with more assets are more active?
Thomas Peterffy: You are right.
Rich Repetto: Okay. That was it. All right. Thanks. It was helpful.
Thomas Peterffy: Thank you.
Operator: Thank you.  And we have a follow-up question from Craig Siegenthaler from Bank of America. Your line is now open.
Craig Siegenthaler: Thanks for taking the follow-up. I had a question on the mix of new account growth with the 133 million accounts by geography. Any commentary on what it looked like on the way in and I wasn’t particularly interested in Asia and Eastern Europe and also any commentary on clients closing accounts or redemptions in the other side of that?
Thomas Peterffy: So, we didn’t really have redemptions other than the Futu and Tiger broker going away, right? And there were some European introducing brokers who were extremely active in last year and they have -- their activity has drastically diminished this year. But -- so -- what is -- tell me again, what is it that you would exactly try to find out?
Craig Siegenthaler: I just wanted to understand what the inflow looked like by geography, if there was any regions that were out hitting their weight?
Thomas Peterffy: Inflow by geography, well, it’s basically due to the -- so I am looking at the annual numbers here and I -- and due to the, as I said, the going away of Futu and Tiger. Our inflow from Asia is basically unchanged for the year, while in the -- for the Americas, Americas it’s up 11% and from Europe it’s up 17%, so that’s roughly, those are the numbers.
Craig Siegenthaler: Thank you, Thomas. And I’d have follow up to Kyle’s question on expenses. But last year the operating margin was high at 67%. It was a good commission backdrop. This quarter it dip to 64%. You talked about expense growth I think in the low double digit zone. But also how should we think about operating leverage? Should we really think about the margin really capped kind of in the high 60%s and really a ceiling where we are here?
Thomas Peterffy: Well, we find it very difficult to COVID hurdle. We keep thinking that one of these days the growth will just exceed the continues hunger to build new things and the growth on the backbone that we have built up to that point is going to exceed the continuing spending the new investments. But we haven’t seen that happen yet. So we just keep thinking that may happen in the future, but it hasn’t so far and it certainly is not likely to happen this year, maybe later on.
Craig Siegenthaler: Thank you, Thomas.
Operator: Thank you. And we have a follow up from Kyle Voigt from KBW. Your line is now open.
Kyle Voigt: Hi. Excuse me. Thank you for taking my follow-up. I guess a follow up question for Milan, you spoke about how IBKR has been and always will be a technology-first firm, but the company has also been putting a lot more focus on marketing and the prepared remarks you spoke about growing the marketing spend. Just wondering, if you could talk a little bit more about the marketing strategy, the shift in that strategy over the past couple of years, it seems like there’s certainly more emphasis on that now and then. The trajectory, I guess, in terms of the marketing spend as we look ahead beyond this year, over the medium-term? Thank you.
Milan Galik: So marketing is obviously extremely important. It doesn’t matter what kind of technology we build for our clients and how a low cost provider we are, if we don’t tell anybody about it. So we have to explain ourselves very well and make ourselves attractive to the investors. So marketing is extremely important. We have been increasing our marketing spend, but we have been doing it gradually and responsibly. At all times we pay a lot of attention at what type of return we receive from the various marketing channels and the ones that work for us well, we put more money into and the ones that do not pan out, do not work well enough, we take our spending back and this will gradually continue.
Kyle Voigt: Understood. Thank you.
Operator: And thank you. And I am showing no further questions. I would now like to turn the call back over to Nancy Stuebe for closing remarks.
Nancy Stuebe: Thank you everyone for participating today. As a reminder, this call will be available for replay on our website and we will also be posting a clean version of our transcript on the site tomorrow. Thank you again and we will talk to you next quarter end.
Operator: Thank you. This concludes today’s conference call. Thank you for participating. You may now disconnect.